Operator: Welcome to the MasTec's Third Quarter Fiscal Year 2013 Earnings Conference Call, initially broadcast on November 1, 2013. Let me remind participants that today's call is being recorded. At this time, I would like to turn the call over to Mr. Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis: Thank you, Mary, and good morning, everyone. Welcome to MasTec's third quarter earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing continuing operations adjusted financial metrics as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP measure can be found in our recent earnings press release, our 10-Q and on our Investor Relations site at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose, followed by financial review from Bob. These discussions will be followed by a question-and-answer period, and we expect the call to last about 60 minutes. We had another record quarter and a lot of good things to talk about today. So I'll go ahead and turn over to Jose.
Jose Ramon Mas: Thanks, Marc. Good morning, and welcome to MasTec's 2013 third quarter call. Today, I will be reviewing our third quarter results, as well as providing my outlook for the markets we serve. First, some third quarter highlights. Revenue for the quarter was $1,269,000,000, an increase of 19% over last year's third quarter. Adjusted EBITDA was $135 million, an increase of 32% over the prior year's third quarter. Adjusted EBITDA margins were 10.6%, a 100 basis point improvement. Adjusted earnings per share were $0.61, an increase of 13% over last year's third quarter and cash flow from operations was $110 million. In summary, we had an excellent quarter. In fact, the third quarter was the best quarter in the company's history. Third quarter revenue, EBITDA, net income and EPS were all at record levels. Despite a year-over-year $127 million drop in revenues in our Power Generation business, total revenues were up $202 million. This increase was led by our oil and gas, electrical high-voltage transmission and wireless markets, which all had record revenue quarters, helping the company achieve its 19% year-over-year growth. We are seeing the positive results of our diversification strategy and believe that every market we serve offers us long-term growth opportunities. Today, we'll cover our financial performance. But quite frankly, our greatest success has been our ability to improve our competitive position across all of our end markets. I believe the value of our brand has never been stronger. I think today's financial performance is a testament to that. But more importantly, it's our brand recognition and reputation that will continue to provide us with growing opportunities across all of our markets. I would now like to cover our segment data. Our Communications segment revenue was $543 million for the quarter versus $490 million last year. EBITDA margin for this segment was 13.2% for the third quarter versus 12.1% in last year's third quarter. The growth in this segment was led by our wireless business, which was up 38% year-over-year. Revenue growth in wireless has been stronger than expected and was driven by both growth from AT&T, as well as our ability to diversify our customer base, as demonstrated this quarter with the addition of Samsung in our top 10 customers. The work we do for Samsung is on behalf of the Sprint network. We expect wireless revenues to exceed $900 million in 2013. While we have enjoyed strong growth, there are a significant number of new opportunities with multiple customers that we are pursuing, and we expect to announce additional awards during the fourth quarter. We have invested and will continue to invest in the opening of new training facilities, the hiring and training of personnel and the equipment and systems necessary to provide our customers with the resources they will need to complete their deployments in a cost effective, timely and safe manner. Having these resources will be a key to the continued growth in our wireless business, and we are very confident in our ability to be a market leader in this business. During the last quarter, we have seen a number of announcements of both long-term capital expenditures on behalf of the carriers, as well as significant increases in third-party wireless investments, as demonstrated by Crown Castle's purchase of AT&T towers and a recent announcement by KKR of a significant capital commitment to fund a rural tower build-out. Increased data consumption will be a significant driver in the need for investments and infrastructure. We are very well positioned to take advantage of this macro trends in the wireless industry. Our installation to the home business was flat on a year-over-year basis, but up 18% sequentially. We continue to invest in the growth of our home security installation offering and now have a presence in 25 cities. While the revenue contribution is not yet significant from this market, it's a natural extension of our capabilities, and we are bullish on its long-term prospects. Security, coupled with in-home automation and energy efficiency, is a fragmented market. Our national reach and scope gives us a strong competitive advantage in that market. Our Oil and Gas pipeline segment had revenues of $519 million for the third quarter compared to revenues of $284 million in last year's third quarter or an 83% year-over-year increase. Revenues were also up sequentially by 75%. Third quarter EBITDA margin for this segment was 13.1% versus 10.2% in last year's third quarter. Backlog was at $639 million versus $265 million last year, but down sequentially from $808 million. As a reminder, in the second quarter, we were awarded one of the largest pipeline contracts in our history, and we expect completion of that project in the first half of 2014. As expected, pipeline backlog is down from record levels in the second quarter due to this large award. Timing of large awards will have a significant impact on quarterly backlog. We have been and will continue to be a beneficiary of the significant changes in the oil and gas industry in North America. We now have the capabilities of offering pipeline and facility construction services throughout the United States and Canada, and we are bullish on the long-term opportunities that Mexico can offer. To recap our exceptional growth in the Oil and Gas segment. We made our first platform acquisition in May of 2008. And since then, revenues have gone from $70 million in 2008 to $178 million in 2009 to $563 million in 2010 to $774 million in 2011 to $959 million in 2012, and we now expect pipeline segment revenues to exceed $1.5 billion in 2013. Our Electrical Transmission segment had revenues of $119 million for the quarter versus $75 million last year, an increase of 59%. Third quarter EBITDA margin for this segment was 10.2%, up sequentially from 9.7% in the second quarter. During the quarter, PPL announced, that described by them, a transition of management companies for business reasons. While we believe we were ahead of schedule and had excellent safety and workmanship on the project, we began demobilization in the third quarter. We are currently following the termination provisions of the contract and, unfortunately, will not be able to comment further on any of the project details. We are very proud of our accomplishments in the transmission market. We expect transmission segment revenues to exceed $400 million in 2013. We have effectively doubled the business in the last 24 months. We have gained the trust and confidence of our customers. And while we're disappointed with the loss of the PPL project, we are excited and bullish on our future prospects. We have been in active discussions with all of our customers relative to all of our ongoing projects and believe we are performing at a very high level. The market continues to be very active and the bid pipeline is very strong. Moving to our Power Generation and Industrial segment, revenue was $85 million in the third quarter versus $212 million in the prior year. Third quarter EBITDA margin for this segment was a negative 7.5% versus a positive 4.7% in last year's third quarter. Margins, however, did improve sequentially by 510 basis points. We expect fourth quarter EBITDA to approach breakeven. As we have previously explained, this is our most challenging business in 2013. We expect full year revenues to be down about $350 million from 2012, primarily due to the reduction in the renewables based on the delayed extension of the production tax credits for wind. The wind business is expected to increase again in 2014, due to the tax credit extension negotiated during the fiscal cliff talks. There is a significant amount of bid activity related to 2014 projects, and we are happy with our progress to date. While not reflected in backlog, since quarter end, we have been awarded or verbally awarded contracts that are expected to exceed $250 million. We expect to discuss those projects in detail on our next call. To recap, we are having an excellent 2013. We expect 2013 to be a record year, and we are encouraged about the prospects for our business going forward. Our presence in the oil and gas, high-voltage electrical transmission and wireless markets, coupled with the improvements in our Power Generation business, should lead to an increasing number of opportunities for 2014 and beyond. I'd now like to turn the call over to Bob Campbell for our financial review. Bob?
C. Robert Campbell: Thank you, Jose, and good morning, everyone. Today, I'm going to cover third quarter financial results and our 2013 guidance. I will also cover our liquidity, our cash flow and the expanded and improved bank credit facility that we closed earlier this week. As in our previous calls, when we discuss our financial results and guidance, we will be discussing non-GAAP continuing operations, adjusted EBITDA and earnings. Our adjusted results exclude the first quarter loss on extinguishment of debt related to refinancing our senior notes, the second quarter final Sintel Spanish litigation charge and they also exclude noncash stock compensation expense for all periods. Before I get into detailed remarks, let me share some headlines. Third quarter revenue was $1.27 billion, up 19% from the third quarter last year. Third quarter continuing operations adjusted EBITDA of $135 million was up 32% from last year. Third quarter continuing operations adjusted EBITDA margins was 10.6%, up 100 basis points from last year. Continuing operations adjusted diluted EPS in the third quarter was $0.61, a 13% increase from last year. We are reaffirming our full year 2013 earnings guidance, which includes continuing operations adjusted EBITDA of $448 million, a 33% increase over last year. The full year 2013 continuing operations adjusted EBITDA margin implicit in our guidance is 10.5%. That's far better than last year's 9.0%. We have closed an upsized $750 million bank credit facility with better pricing, terms and conditions. And finally, we have sold Globetec, our discontinued and struggling municipal water and sewer business at a $0.04 loss. Now let me get into Q3 detailed results. Q3 2013 revenue was $1.27 billion, up $202 million or 19% from last year. And that's in spite of a $127 million decline in Power Generation and Industrial revenue. To offset the power gen decline, our other major segments all had impressive growth. Oil and Gas was up 83%, Electrical Transmission was up 59%, and Communications was up 11%, driven by a 38% increase in wireless projects. Oil and Gas, Electrical Transmission and Communications, on a combined basis, were up 22% organically without acquisitions. Third quarter cost of revenue, excluding depreciation and amortization as a percent of revenue was 85.2%, compared to 86.6% a year ago. That's 140 basis point improvement, driven primarily by the Oil and Gas segment, but also with improvement in the wireless projects within Communications. As expected, Electrical Transmission cost of revenue continued to improve sequentially, with a 230 basis point improvement compared to Q2, but 180 basis points worse than Q3 a year ago. Also, as expected, Power Generation was a significant drag on MasTec's cost of revenue and margins, as we move towards final close-out of several disappointing projects and we have maintained our overhead levels in spite of lower volume levels in anticipation of a robust wind project environment for 2014. Depreciation and amortization expense was 3.0% of revenue in Q3 compared to 2.1% last year, primarily reflecting the impact of higher levels of capital expenditures in Oil and Gas and in Electrical Transmission and also higher amortization, primarily from recent Oil and Gas acquisitions. We have increased our investment levels in Oil and Gas and in Electrical Transmission in anticipation of greater amounts of work this year, next year and beyond. Third quarter general and administrative expenses, as a percent of revenue on a GAAP basis, were up from 4.0% a year ago to 4.6% this year. Third quarter G&A includes $3 million in noncash stock compensation expense and the year-over-year increase was approximately $2 million. The majority of the increase is due to the incentive compensation plan for our EC Source transmission business that we discussed last quarter. The other areas of increase were: One, approximately $8 million of G&A related to acquisitions completed in the fourth quarter of 2012, as well as in 2013; two, payroll information technology and other cost increases to support our growth; and three, higher bonus accruals, given this year's 32% increase in continuing operations adjusted EBITDA. Q3 continuing operations adjusted EBITDA was $135 million, which was up 32% from $103 million in 2012. Q3 continuing operations adjusted EBITDA margin of 10.6% improved 100 basis points versus last year, and it was a result of the revenue increase and much improved cost of revenue, partly offset by G&A increases. Q3 continuing operations adjusted diluted earnings per share was $0.61, compared with $0.54 a year ago, a 13% improvement over last year. For the third quarter of 2013, the 10 largest customers were: Enbridge, a pipeline customer, was 20% of total revenue; AT&T was 16% of total revenue; DIRECTV was 13%; Enterprise, a pipeline customer, was 6%; MidAmerican Energy was 4%. MidAmerican is both an electrical transmission and a power generation customer; TransCanada, a pipeline and facilities customer, was also at 4%. Chesapeake Midstream, PPL and Samsung were each at 3% of total revenue. Chesapeake is a pipeline customer, PPL is in an electrical transmission customer and Samsung is a wireless customer. And finally, DCP Midstream, a pipeline customer, was at 2% of revenue. Regarding diversification, our top 10 customers in Q3 include 2 telecom customers, 1 satellite television customer, 5 Oil and Gas customers and 2 Electrical Transmission, Power Generation customers. Our revenue is split between onetime individual construction projects and what we call master service agreements and other similar contracts for generally recurring services and therefore, recurring revenue. For Q3, 47% of our revenue came from master service agreements and 53% came from onetime individual construction projects. Also, it should be noted that with many of our customers, we do a significant number of repeat follow-on individual projects. I just wanted to highlight that even though our onetime individual project revenue is growing nicely, we do enjoy a large and stable revenue base from master service agreements. At quarter end, our backlog from continuing operations was approximately $4.0 billion. The comparable number for Q3 last year was $3.3 billion and $4.1 billion at the end of Q2 this year. As I mentioned on last quarter's call, be careful not to over analyze changes in our quarterly backlog numbers. Backlog numbers can be lumpy and bounce around some, and we do not believe that 90-day swings in backlog are necessarily indicative of the longer-term trends in our overall business or in each of our segments. Please keep in mind that our backlog amounts can fluctuate just due to the timing of when contracts get signed. We do not count contracts signed after quarter end in our backlog. And of course, we do not count verbal assurance or even written notices to proceed. Also, especially in Oil and Gas, we have significant amounts of book and burn work. And therefore, our backlog amounts in that segment are really not indicative of future revenue. Also, please note that our backlog numbers are for only 18 months into the future. That means that some significant and longer duration projects may be -- may not be fully reflected in backlog. Also, our longer-term master service agreements work is reflected in backlog at only its 18 month value, even if the MSA contract runs well beyond 18 months. Now let me talk about our Q3 liquidity, cash flow and our newly amended and expanded bank credit facility. Liquidity, at September 30, calculated as cash plus availability on our bank credit line, was $428 million. Earlier this week, we closed and improved and upsized bank senior credit facility, which will improve our liquidity even further. Our revolver was upsized from a maximum amount of $600 million to $750 million, includes lower rates on both outstanding and undrawn amounts, has better terms and conditions, and the credit facility maturity was extended 2 additional years until 2018. Under the amended credit facility, we can now currently -- we can currently borrow at LIBOR plus 175 basis points, which reflects a 50 basis point improvement over our prior credit facility. On a pro forma basis, had the amended credit facility been in place on September 30, our pro forma liquidity would have been $578 million. Also, we have a $250 million accordion feature, which under certain circumstances, will allow us to upsize the credit facility up to $1 billion. We've received great support from our existing bank group and we were able to upsize the facility through increased commitments from our existing banks without adding new banks to our bank group. The rationale for our improved and expanded bank deal is we saw an opportunity to extend our maturity date while getting a better deal overall. And with a new 5-year maturity and our favorable growth prospects, we thought we should expand the revolver now, while market conditions are very favorable. The upsizing is not a signal of an imminent big acquisition, but just appropriate capital structure planning for our growing company. Our third quarter cash flow from operations, as expected, was much improved compared to the second quarter. Our cash flow from operations was $110 million, despite an almost $300 million sequential increase in revenue, which caused some working capital usage. As we said on last quarter's call, second half cash flow from operations and free cash flow should be much improved over the first half of the year, and that's what is happening. We're currently on track for the $100 million-plus second half of the year reduction in net debt that we mentioned on our last call, if you adjust for our spending on the small electrical substation acquisition that we made in Q3. In the future, we are changing our methodology in calculating accounts receivable days sales outstanding, or DSOs, to be more consistent with others in our public company peer group. Going forward, we plan to include billings in excess of costs and earnings in our DSO calculations. Billings in excess of costs and earnings or advanced billings are shown on the liability side of the balance sheet, and they are substantial. At September 30, we had $110 million of billings in excess of costs and earnings. All of our DSO numbers in the future will be calculated net of billings in excess of costs and earnings, and we believe that net numbers are more comparable to our peers and therefore, will be more analytically useful. For the third quarter, in the name of clarity, we will give you the numbers both ways. Using either calculation, our DSO showed very good improvement in Q3 compared to last quarter. Our Q3 accounts receivable days sales outstanding, or DSOs, for continuing operations, under the old methodology, without netting billings in excess of costs and earnings, were 89 days compared to 102 days in Q2, a 13-day improvement. Using the new net calculation methodology, our Q3 DSOs were 81 days compared to 90 days for Q2, a 9-day improvement. We previously said that we expected a significant improvement in DSOs over the rest of the year, and we also said that we had some Canadian second quarter collections delayed into Q3 because of flooding in Calgary. Regarding our spending on equipment, we spent $44 million in cash CapEx in Q3 compared to $22 million in Q3 last year. In addition, we added about $27 million in capital leases and other financed equipment purchases in the third quarter, compared to $6 million a year ago. The total of our cash CapEx and capital leases and financed equipment was $71 million in Q3 compared to $28 million in the third quarter of 2012. On a full year basis, we'll probably spend about $120 million in cash CapEx and maybe another $110 million to $120 million in capital leases and financed equipment for total CapEx for 2013 of $230 million to $240 million. As we've previously said, we currently believe that we should have high levels of growth in Oil and Gas and Electrical Transmission for the next few years. As our project awards have increased dramatically and our confidence level regarding sustainable growth has risen, we have increased our investment in equipment to support our anticipated growth. We see a great window of opportunity for the next few years, and we're getting ready for it. We believe that the P&L benefit for our ramp-up in equipment spending will primarily be seen in 2014 and beyond. Therefore, we are incurring a modest P&L hit in 2013 in order to do the right thing for the business longer term. Also, the 50% bonus depreciation for tax purposes expires at year end, so the economics favor getting equipment and service this year versus next. As I mentioned, we are reaffirming our full year earnings guidance. For the full year, we are raising our revenue estimate to $4.25 billion. Additionally, we continue to estimate continuing operations adjusted EBITDA of $448 million and continuing operations adjusted diluted earnings per share of $1.88. The 2013 revenue projection represents an increase of over $520 million or 14% over $3.7 billion for 2013, which we think is very good, especially given that Power Generation and Industrial revenue likely will be down about $350 million, due to much lower wind revenue. This year's total revenue growth, given the dramatic drop in Power Generation revenue, demonstrates the value of having a diversified portfolio of businesses. Our 2013 continuing operations adjusted EBITDA projection of $448 million would be a 33% increase over continuing operations adjusted EBITDA of $336 million last year. The 2013 continuing operations adjusted EBITDA margin, implicit in our guidance, is 10.5%, which compares to a continuing operations adjusted EBITDA margin of 9.0% last year. And continuing operations adjusted EPS of $1.88 would be a 23% increase over continuing operations adjusted EPS of $1.53 last year. Our 2013 full year guidance assumes a tax rate of about 38.6%. Cash taxes are estimated to be 90% to 95% of book taxes in 2013. We currently expect depreciation expense to increase from $80 million last year to $120 million in 2013, as a result of higher CapEx and capital leases, plus the impact of the Canadian Big Country acquisition. As I mentioned earlier, we will have a modest P&L drag in 2013, as we ramp up our equipment spending in anticipation of the opportunities that we see in the future for Oil and Gas and in Electrical Transmission. We expect full year acquisition amortization expense of $21 million, including the impact of the Canadian Big Country acquisition. We expect an increase in interest expense from $37 million in 2012 to about $47 million this year, reflecting higher debt balances, partly offset by lower interest rates. Our estimate for the full year share count for diluted EPS is about 85 million shares and about 86 million shares for Q4. Remember that our share count, for EPS purposes, can fluctuate up and down with our stock price because of accounting for our convertible notes. As Jose said, we had a strong third quarter, and we currently expect that 2013 will be another record year, with strong growth in our 3 key segments and with significant margin expansion. Before I turn the call back to Jose, let me mention one other item. After having the great privilege of serving as the MasTec's CFO for the past 9 years, I plan to retire at the end of the year. I turn 70 next year, and year end is the right time to pass the baton to someone else. George Pita, who currently is our CFO for Operations, will become the new MasTec CFO on January 1. As CFO for Operations, George has had all of our business units' CFOs reporting to him, and he's done a terrific job leading that group and working with our different businesses. George joined MasTec in February, after previously serving as CFO for Sunglass Hut, Perry Ellis and Stuart Weitzman, a division of the Jones Group. I wish George all the best in his new role. Being MasTec's CFO has just been terrific. I really appreciate the support that I've always gotten from our board, the Mas family, our senior management team and from our banks, insurance, surety and all of our other partners. I will remain involved with MasTec for a while as a consultant to Jose. However, this will be my last earnings call. So let me wrap up my comments by saying again what a great privilege it has been to serve MasTec and our investors. It's been fun every single day. Thank you, and I hope that being involved with MasTec will be as gratifying for you as it has been for me. That concludes my remarks. I'll now turn the call back to Jose.
Jose Ramon Mas: So before moving to questions, I'd like to take this opportunity to thank Bob for his years of service. I had the honor of becoming the CEO of MasTec in 2007. At that time, our revenues were $932 million and EBITDA for the full year of 2007 was $53 million. It's amazing to think that this quarter, we exceeded the results for the full year of 2007. During my tenure, I have had the benefit of having a great financial partner and friend. His work prior to 2007 created a solid foundation, and more importantly, over the course of the last 6 years, he did a remarkable job of building an incredible finance organization at MasTec. We have an incredible team here, and Bob's leadership is a big reason for that. I also want to thank Bob's wife, Dennie [ph], for her support. Bob, on behalf of my family, our board, all of our team members, partners and investors, thank you for a job well done. You will forever be a part of this family, and you should take great pride in the legacy that you'll leave. Thank you, Bob. I'd also like to congratulate George Pita. As Bob mentioned, George brings vast experience to MasTec. George has also had the benefit of spending a significant amount of time in our field operations over the course of the last year. I look forward to George building on Bob's fine work. Congratulations, George. I would now like to turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] And we'll take our first question from Andrew Kaplowitz with Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: Congratulations on your retirement. George, good luck. Jose, if I could ask you about 2014 in the sense that, at this point in the year, in '13, can you talk about your visibility into '14? It looks like your Communications business has reaccelerated, pipeline remains strong. Can MasTec achieve a low-double digit revenue growth in '14? And then how should we think about margin? You definitely have improved your margins in '13, but margins have been a little choppy still, just okay in pipeline. So maybe any views you can give us in '14 at this point will be helpful.
Jose Ramon Mas: Sure, Andy. If you look at pipeline margins for 2013 -- and I probably want to start there, based on the last part of your comment. Pipeline margins in 2012 were 10.4%. We're going to finish off full year '13 at close to 14%. We're really proud of that. I think that we had a great second quarter with margins closer to 17%. They obviously came down in Q3, as expected. We said last quarter that we thought the 17% was an exceptional quarter, a high watermark, but something that we don't think we can achieve quarter in, quarter out. So we're very, very proud of the fact that we've been able to increase margins the way we did from 2012 to 2013. And a lot of that has to do with the improvement in the market that we saw in the pipeline business, as we've got some more mainline construction, as the business was improving. So when we look out to 2014, and quite frankly, there's very good visibility in the market. But we're still a ways out, right? It's a long year there. 2014 is going to be a big year. There's a ton of work expected to land in 2014. But it's not like people have it yet. So until you have it, it's hard to really pin down what's your potential growth rates can be, what's your potential margin can be. As we're thinking about 2014, we probably start close to where we ended 2013 from a margin basis because there's not a lot changing in the pricing environment in Oil and Gas today. It's solid, it's good. I think that's demonstrated in our numbers. It will get better once the market gets more active, once -- if Keystone happens. We've always said we think that's a big driver of margin expansion in the business. But we've got to see some of those things happen for us to be able to consistently say that we're going to operate at a higher margin over the long term. So again, it's an incredible marketplace. We are blessed to be in it. We think it's -- there's tons of opportunities, not just in the U.S. but as we've said, in Canada. And eventually, we think the Mexico market is going to be a fantastic market on the pipeline side. But I think that we need a little bit more time to really come back with solid visibility as to what we think our growth rates from a top line perspective could be in Oil and Gas. We've talked about our other businesses. Obviously, in our power gen business, we have excellent visibility because it's going from such a bad year to an improving year. Our transmission business, we've had very good visibility because of all the backlog wins that we've had over the course of the last year. Obviously, the PPL loss impacted that and probably slightly impacts our view for 2014, although I think we'll be up strong double digits in 2014 versus 2013. And our wireless business continues to operate at a very high level. There's just a lot of activity there. We'll probably have more solid visibility in that business for '14 just because of the awards that we know we either have or are coming. So we feel really good about our growth potential there. So all in, 2014 should be a great year. It should be a better year than 2013. The only caveat I'd say to it is from a margin perspective, we expect it to be better than 2013 was. How much better it will be, how much growth we'll ultimately have, I think we'll determine that over the course of the next couple of months as the year really starts to show up.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay, that's helpful, Jose. Let me ask you about Communications then, as the follow-up. It's up double digit now year-over-year, and margins have been rising. Can you talk about how much of this growth is actual share gains? With AT&T and other customers, you sort of talked about it a little bit in -- upfront, but maybe a little more color there. And then margins, they've continued to surprises us to the upside. So is this just really good execution? Or is this just a very tight market getting tighter?
Jose Ramon Mas: I think it's a combination of all of that, right? We are taking market share, we are participating in what we think is an increasing market, especially as Sprint really becomes -- begins to ramp up and spend a lot more on the rollout, especially on the wireless side. Margins have been improving. Quite frankly, we think they'll improve again in Q4. And I think that as we look on a full year basis, margins in that business were about 10.8%. Last year, we think they'll be closer to 13% full year this year. And again, that's a really good run rate as we look into 2014 for a full year, and we're going to look to hopefully do a little bit better. But those are good numbers. And we'll continue to work hard at trying to improve them. Again, it's a dynamic marketplace. It's one where labor is getting tighter. The type of work is changing. We positioned ourselves incredibly well in that marketplace, and we think that there are ton of opportunities for us there. And hopefully, they'll pan out. And as we get more clarity, which we think is coming relatively soon, we'll be able to communicate that a lot better.
Operator: And we'll take our next question from Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: And Bob, first of all, I think at 70, you're still a spring chicken, so -- especially at the heels [ph]. But many congratulations. I know what a pivotal part you've made in turning this company around. You will be missed. First question. Jose, NextEra came up with some very positive commentary this morning on when -- kind of in line with what you're saying. And As we've looked at the utility CapEx announcement so far over the last month or 2, they've been essentially balanced between some natural gas, but renewables continuing. So as you go forward and you look at Wanzek, could you comment on the longer-term outlook, whether wind is a more beneficial factor for you or whether peaker plants are a better option for you? So in other words, do you benefit more from a natural gas mix to the positive or more from wind staying in the picture?
Jose Ramon Mas: Today, there's no question that we benefit more from the renewable side of the business because they have such a long history of being a renewables contractor, a dominant player in the renewable market. So as the wind market picks up and the wind market is very active, it's going to benefit them. I think there's no question about that. What we've been trying to do for the last 1.5 year or so is really balance out the portfolio at Wanzek. We don't want to solely be a renewable contractor. With that said, it's -- we think we've done a good job at really getting into some new sectors there. It hasn't been all fun, right? We've had our issues. We've had the projects that have -- that haven't made the kind of margins that we were hoping or expecting, which I think is reflective in the numbers that you're seeing in 2013, as well as revenues being down. We're very excited about what '14 brings. We think we're going to have a very good year in that business. And the more that you look at what utilities plan long term, we're not going to get -- it doesn't make any sense but to build natural gas plants today, right? But we also know that they're not going to build all natural gas. There's going to be different energy sources that all of the utilities use. There's going to be a diversification of their energy sources. So I do think that renewables plays an important role for a long period of time, and I think that's going to be a bread-and-butter business for Wanzek that they're going to be able to be in and out of every year, and I think that the business is going to be a lot more stable as we look forward, just because it's -- a lot of utilities are looking for that diversification of generating assets. With that said, we still got to continue to improve our diversification within that business and be able to offer multiple solutions to different customers. We're working on that, and it's still part of our strategy. It's still part of what we're going to do. We've gone solely organic to date on how we do that. And we continue to reevaluate our progress and our strategy. And we'll find a way to make it work.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Okay. And then I guess, the second question is in regards to pipeline. You commented on pricing and Keystone. And I do see what you're saying over there. But we've seen a couple of very large projects probably coming to light, and I know there are more 2015 plus with the Fort Hill's $1.5 billion projects announced the other day by Enbridge, your key customer, but also a couple of very large pipeline projects in Canada tied to LNG developments 2015 onwards. So if you don't see Keystone happening in 2014, does that mean that the pricing impact essentially is still there, it just gets pushed out into 2015 based on the opportunities from the large trunk line projects you're seeing outside of Keystone?
Jose Ramon Mas: Bottom line is it's a great market that's growing in a bunch of different areas, with a lot of different projects. The industry is not solely about one project but it's about all of the projects coming to life, getting built, moving forward, right? A lot of these projects are not necessarily happening today or happening tomorrow. So until they do, we're not going to see that trend in pricing, which is all that -- I think all that we're really saying. Whether it's Keystone or another major project, when major work starts, it's going to have a significant impact to pricing. There's no question about that. And everybody in the industry is going to benefit from it. Taking a step back, we've also seen it, right? I mean, our margins are up 360 basis points, as we guide out the year, from where they were in 2012. So we are seeing margin expansion. Some of our peers are seeing margin expansion. That's good. That's happening. But to really get to the next level of margin expansion, which -- so I think we've achieved that first goal. We've achieved that first jump of margin expansion. The question becomes, how do you get to the second jump of margin expansion? And all we're saying is for it to really hit that second tier, it's going to have to be because some of these big projects start, labor gets consumed and the market gets tidy.
Operator: And we'll take our next question from Alex Rygiel with FBR Investments.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Bob, congratulations on all your success for the years. You're going to be missed. A couple of quick questions first for Bob, not to let you off the hook. Bob, can you comment on any plans that you might have or how you're thinking about settling the convertible notes in the spring of 2014?
C. Robert Campbell: Well, let me say 2 things: First of all, we -- just to remind everyone how we're accounting for them, our current assumption is that we'll settle the principal, the $215 million in cash, and we'll pay the premium in stock. And that dilution is already in the EPS. And we acknowledge we've had a nice run-up in the stock. And we have 2 tranches next year in June and, I think, November. And we'll make a game-time decision, if you will, at that point in time. So in a way, I guess, I'm not answering your question, but it's clear that our current intention is to pay the principal in cash.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Very helpful. And Jose, can you give us a little bit of an update on the Big Country acquisition earlier in 2013? And also comment on sort of acquisition activity, acquisition pipeline and whether or not you're going to continue to focus on smaller transactions within your core franchise or your possibly thinking about adding another leg to the story.
Jose Ramon Mas: Sure. We are extremely excited about the Big Country acquisition. We think it's a phenomenal company with a great management team that's going to really open up an enormous amount of opportunities from Canada. We're very bullish on their long-term growth capabilities. It's an absolutely fantastic company. We're proud to have them. And as we get to know them better, I think we continue to feel the same way, if not stronger. With that said, the third quarter for them and for our Canadian business was somewhat challenging. We didn't -- we had the rains and the floods that happened in late June that went into July, the late freeze kind of extended the breakup season. So some of our work got started later than we expected, caused some cost constraints. So some of our margin impact in the third quarter versus where it was or where we wanted it to be, Canada underperformed a little bit versus our expectation. They had a very good quarter but slightly below where we were hoping that they would be. And we think, over time, that comes back. So very excited about what they bring to the table, what they're offering is. Again, a fantastic group, and one that I think is going to really benefit us over the long term. The acquisition pipeline, quite frankly, it remains really strong. There's a lot of very interesting opportunities out there. You know our approach, we're disciplined, it's got to fit. We're looking more to expand and extend our current businesses, be it geographies, customers or what management team brings more than necessarily adding another stool. So I don't think that you're going to see us add another stool any time soon. You never say never, but we really don't have any plans for that today. But you will probably see us continuing to make some nice tuck-in acquisitions to complement our businesses.
Operator: And we'll take our next question from Jason Wangler with Wunderlich Securities.
Jason A. Wangler - Wunderlich Securities Inc., Research Division: Just curious on the wind business as we get back to -- or we get into '14 and things start moving. When do you expect -- it sounds like you're having conversations, but when do you expect to start to see contracts being awarded and roughly when do you see boots getting on the ground and going to work?
Jose Ramon Mas: Well, contracts will be awarded this year. We've actually already been awarded some contracts since quarter end. We will actually start some construction in 2013, with a lot of construction slated for the beginning half of 2014.
Jason A. Wangler - Wunderlich Securities Inc., Research Division: Okay, that's helpful. That's quicker than I thought. And then just you mentioned the home security business kind of expanding a little bit. It's not meaningful yet. But do you see that becoming more meaningful as we go through '14? Or is it even maybe getting another year under your belt before it really becomes something that's going to be meaningful from a revenue perspective?
Jose Ramon Mas: It's always been a part of the business that we feel fit us so well and that we would have so many opportunities in. When you look at the security business nationwide, it's an extremely fragmented market. You have a couple of big players. But the reality is that a lot of those big players buy contracts from smaller players that just aggregate homes. The difference in the market for us today is that we're starting to work with some big national players, right? So we've announced that we're working with AT&T on their digital life program, DIRECTV announced the acquisition of a big security company. So now you have a different customer profile, for us anyway, in terms of who's going after customers. Our business today will be completely dependent on their success. So to the extent that those customers are successful, our business is going to grow, and we hope grow rather nicely. It'll take time to see what kind of take rates they get and how they're going in those businesses. But if you crack those businesses, as their performance improves, we're going to see a direct correlation to our business. In addition to that, it's our job to figure out other ways to plan that market, other customers to play, which we will do. So again, it's very exciting to be able to make the bigger play in that business with some core customers, where we can open a lot of facility office, get really good geographic reach and then figure out ways to maximize the utilization of those resources across the areas that we're in.
Operator: And we'll take our next question from Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Congratulations, Bob. And Jose, I wanted to just talk to you about the wireless business. You mentioned that you are expecting additional orders in Q4. Are those from new customers? And can you talk about just how we should think about the new business for Sprint and Samsung as you're looking to 2014?
Jose Ramon Mas: Well, in the market today, we pretty much work for all of the major carriers. Obviously, we work for some in a much greater capacity than others. So I don't think there's many customers out there that would be new to us in some shape or form. We work for everybody. So the awards that we're expecting and we're hoping to get are more with -- are with existing customers, but with that said, maybe some of our larger existing customers. As we look forward into the Sprint relationship, which is important and it's one that's growing, Sprint is kind of doing things a little bit differently in the past. A lot of their work has been through some of the OEMs, that, we're building and financing a lot of their built form. They're still doing that. That's really how Samsung got into business with Sprint. They've been a good customer of ours. We see that continuing. And in addition, we believe that Sprint is going to direct contracts more to other players as well, where we think that there's opportunities for us. So we're very bullish about what's happening there. We think they've got a lot of requirements and needs over the course of the next few years, as to how they improve their network and continue to build on their networks. So we hope to be a part of it. And it's a big industry opportunity and one that we're hoping to take advantage of.
Vishal Shah - Deutsche Bank AG, Research Division: That's very helpful. And just one other question on the pipeline side. You said that you expect one big project to get completed shortly. Do you think that we should expect some shift in margins because of the completion of that one large project? Do you see margins in some of the new business that you're winning pretty much the same as the existing projects?
Jose Ramon Mas: Sure. So a couple of things. I think when you look at our margins, we've had 2 high watermarks, which is the fourth quarter of 2012 and the third quarter of 2013. Wherein both of those quarters, we achieved close to 17% margins in the business. I think it's important to note that in both of those quarters, there weren't a lot of long mainline construction projects in those numbers. There were some, but it wasn't the dominant nature of what we were doing. So I think that speaks highly of the pricing of all pipeline business. Pipeline business in general today is a good market, whether you're in the shales or you're in the long ones. It's all a matter of -- a lot of the work is bid in that, anywhere from the low to high teens, from an EBITDA perspective and how you finish off jobs and where they're geographically based and the performance on those jobs will have an impact on where you can end up within that range. So we feel really good about where we're at today. Again, we think we've made great improvements. We're very proud of our team. I know our team is extremely proud of the accomplishments that they've made over the course of the last year as are we of them. And we think that's going to continue. We expect margins to hold really well going forward. And our job is to figure out ways that we can continually improve margins, get better and get bigger.
Operator: And we'll take our next question from John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: First of all, my congratulations to Bob and thank you for all the helpful over the years. I guess, first question, Jose, on the Power Generation and Industrial bookings that you referred to or pending awards, the 250, is that all wind?
Jose Ramon Mas: Yes, it is.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And then in terms of -- and I don't know how much you can talk about this. But your transmission backlog, does that have all of the PPL work pulled out of it?
Jose Ramon Mas: Yes, it does.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And then how quickly...
Jose Ramon Mas: We probably pulled out, John, north of $100 million out of backlog. What it would have been had we not -- had we still been on the project, it would have been about $100 million higher, I suspect.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And how quickly, Jose, I mean, do you have the opportunities to fill out 2014? Or are we looking at a low in the first part of the year? I know, seasonally, it's weaker, anyway. But...
Jose Ramon Mas: John, if we take a step back, last quarter, we announced that over the previous 18 months, we had won almost $1 billion worth of work. When you take into perspective our size in that business, that was an incredible feat in our minds. So we have a lot of work. We have a very strong backlog. As we look in 2014, we have excellent visibility. We've said, over the course of the last 6, 9 months that we expected to do $400 million in '13. Our goal is probably to do $500 million in '14. Does that turn into $450 million or somewhere closer to that today with what we got in hand? Probably. And to make up the difference, we got to go out and get some additional work, which we're going to work hard on. But -- so it probably tempers 2014 a little bit. But again, we still expect double-digit growth in 2014 from where we're at in 2013. The backlog levels that we currently sit on allow us to perform that and to perform at those levels. And in addition to that, there's a ton of work out there that's bidding, that we feel we can compete on. And hopefully, we'll continue to win projects and continue to grow the business.
Operator: And we'll take our next question from Noelle Dilts with Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Congratulations, Bob. You've certainly earned some time on the golf course. So starting off, Jose, the last time you had an upturn in the wind business, pricing really never got to the point you expected it to be. It was kind of challenging throughout that whole cycle. As you're kind of looking out into '14 and as you're looking at these early contracts coming out, has there been any improvement in pricing relative to kind of the 2012 period? Or are you still looking at a pretty challenging environment?
Jose Ramon Mas: Well, we're still in the middle of a pretty active bid season. So I don't necessarily want to comment on where we're pricing or what we're pricing. What I would say is as we look at '14, we will obviously expect to at least be at the margin levels of where we were in 2012, which is a big change from where we were in '13. So it's going to be a great driver of our business in '14 relative to where it was at in '13. It's a good market. The exposure and risk that you take on some of these wind jobs isn't as great. Some margins tend to be lower than what our company averages would be. We know that. We understand that. We expect that. Again, we're going to try to do the best job that we can on margins. But if I was looking out into '14 and as I'm thinking about where we're modeling and we're planning, it's pretty close to 2012 levels.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And then just on a very kind of near-term question with the demobilization on the PPL project. Do you think you could see a little bit of maybe some underutilization in the fourth quarter in transmission? Or were you able to reallocate those assets pretty quickly?
Jose Ramon Mas: We're actually expecting a nice increase in margins in the fourth quarter in our transmission business versus where it was at in the third quarter.
Operator: And we'll take our next question from William Bremer with Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Bob, congrats, enjoy the cars. Look forward to seeing you on the track one day. My first question goes on to -- into transmission. Jose, the bookings we see this quarter, can we talk a little bit on the pricing? How does that compare over the last few quarters and year-over-year, better, worse?
Jose Ramon Mas: Bill, we've been disciplined on pricing. I think we've got -- our views on where pricing should be, I don't think we've really moved that. Over the course of the last 18 months, we've been targeting certain returns. Those are the returns that we're bidding to. I think our performance on margins over the course of the last 1.5 years has been really good. We had a bunch of projects that we're starting earlier this year, which had a negative impact to margins earlier in '13. I think we're seeing that recover, I think we'll continue to see that recover through Q4. So we're really happy where our margin profile on our backlog is today. I wouldn't say that it's, again, changing in any meaningful way from a market perspective. So it's at a level that we're pretty comfortable with.
William D. Bremer - Maxim Group LLC, Research Division: Okay. My final question is on pipe. Any compression contracts during the quarter?
Jose Ramon Mas: Well, we did start some facilities work in the quarter, so yes.
Operator: And we'll take our last question from Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Bob, I'd also say congratulations. Jose, the -- your comments about wind in 2014, you said margins similar to '12. What about -- is that true for revenue also?
Jose Ramon Mas: Well, it's early. We've said for a long time now that we expect '14 to be a better year from a revenue perspective than '13. So our revenues will grow in '14 versus '13. Do they get to 2012 levels? That's a tall task. 2012 was a remarkable year. So I think that we'll see really nice growth in that business. We're not ready to say that we can get to 2012 levels.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Got it, okay. And then Mexico pipeline, you alluded to that several times on the call. Just curious what you're seeing there.
Jose Ramon Mas: Well, we're not working there today. And we're probably not going to be working there in the near future. But we are actively involved in relationships there currently and really understanding the marketplace and the dynamics. We're very bullish on what's going on. There's a lot of changes in the oil and gas industry in Mexico. And when you look at, obviously, where it's located, and the ease of getting in and out, it's just, for us and other, a natural expansion market, as we look forward. Just like Canada, I think you're going to see Mexico buying a lot of resources from the U.S., so a lot of the U.S. shales are on its border. And I think you're going to see a lot of exports to Mexico on that side. And that's going to create a lot of opportunities, both on the U.S. side and the Mexico side. And we're hoping to be a part of that when that starts.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And that's just something you can do with existing capacity you have, you can move some into Mexico?
Jose Ramon Mas: So we can do it a lot of different ways, right? Obviously, we could look at acquisitions in Mexico. We're not necessarily there today, and we're not-- that's not necessarily something that we're going to do, at least in the short term. There are -- we think that a lot of the initial opportunities will actually be on the U.S. side. So yes, we will use U.S. resources to do work, but those same U.S. resources can help dip into Mexico and work on that side of the border as well.
Operator: And that does conclude today's question-and-answer session. I would now like to turn the call back over to Mr. Marc Lewis for any additional or closing remarks.
J. Marc Lewis: Thanks, Mary. This is a very bittersweet moment for us at MasTec with Bob announcing his retirement today. But we're happy for Bob and Dennie [ph]. We'll greatly miss Bob's leadership and presence every day at the office. Over the last 9 years, I've traveled all over the world with Bob telling the MasTec story to nearly thousands of investors. The story, which in large part had a happy ending because of the skill, commitment and integrity that Bob brought to the company during a very difficult time in 2004. But even more important, over the years, Bob has become a great friend and confidant. On behalf of all shareholders, large and small, I just want say thank you, Bob, for the important contributions you've made here at the company, good luck and job well done. That concludes today's Q3 call. Once again, we want to thank all those who support us during the year, and thanks for participating in today's call.
Operator: And that does conclude today's conference. Thank you for your participation.